Operator: Good evening. Thank you for attending the Bumble Second Quarter 2025 Financial Results Conference Call. My name is Megan, and I'll be your moderator for today. [Operator Instructions] I would now like to pass the conference over to Will Taveras, Bumble's Investor Relations. Please go ahead.
William Paul Taveras: Thank you for joining us to discuss Bumble's second quarter 2025 financial results. With me today are Bumble's Founder and CEO, Whitney Wolfe Herd; and Interim CFO, Ron Fior. Before we begin, I'd like to remind everyone that certain statements made on the call today are forward-looking statements. These forward-looking statements are subject to various risks and uncertainties and reflect our current expectations based on our beliefs, assumptions and information currently available to us. Although we believe these expectations are reasonable, we undertake no obligation to revise any statement to reflect changes that occur after this call. Descriptions of factors and risks that could cause actual results to differ materially from these forward-looking statements are discussed in more detail in today's earnings press release and our periodic filings with the SEC. During the call, we also refer to certain non-GAAP financial measures. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from our GAAP results. Reconciliations to the most comparable GAAP measures are available in our earnings press release, which is available on the Investor Relations section of our website at ir.bumble.com. With that, I will turn the call over to Whitney.
Whitney Wolfe Herd: Hello, everyone, and thank you for joining us for our Q2 earnings call. Four months ago, I returned as CEO of Bumble and reset our strategy for quality over quantity across the whole business, including how we operate, our revenue and payers and importantly, our member base. We have taken decisive actions over the last quarter. We've removed over $100 million from our cost base by streamlining operations, restructuring head count and shifting to a more efficient organic marketing engine. These changes have sharpened our operational discipline and positioned us for a return to growth. We've reorganized for speed and focus, rebalancing engineering to the U.S., unifying our product road map and bringing in exceptional leadership, all while building a leaner, higher-performing team. These efforts contributed to record EBITDA margins in Q2. And while this level of performance shouldn't be viewed as a steady state baseline, profitability, margin expansion and cash flow will remain core priorities even as we redeploy some of our cost base savings into selective high-impact investments across product, AI, UX and trust and safety. We believe we can do both, run a healthy, efficient business and strategically invest in the long-term future of Bumble with discipline, intention and a relentless focus on quality. That quality extends to the type of revenue and payers we are prioritizing. The majority of this quarter's payer decline came from the phase out of a legacy strategy related to promotions, which were skewed towards certain of our lower monetizing noncore markets. As of late April, we have been reemphasizing our core of sustainable full-price subscriptions. Encouragingly, our full-price payer base increased quarter-over-quarter and subscriptions now represent approximately 80% of total payers, up from 70% in Q1. This is reflected in our ARPPU increases. We believe this may be an encouraging signal that removing lower quality revenue moves us towards a stronger, more sustainable baseline for our payer base as we look to return to growth. Now let's talk about the progress we're making on improving the quality of our member base. At Bumble, our product is people. The quality of someone's experience, how they engage, find what they're looking for and monetize depends on the quality of who and what they encounter on the platform. We are executing this work through our beehive fit framework which is designed to create the right conditions for meaningful connections, authentic, robust profiles, clear intent signals and respectful behavior. It's not about exclusion. It's about how well people show up. To assess our members using our beehive fit framework, we are using 3 categories. The first is approved. These are members showing high intention, effort and alignment with the experience we are building. They are verified. They engage well on the product. They have robust profiles. These people are great members of the community, follow our community guidelines and are seen as high quality and compelling daters by the other members on the platform. The second and largest group is improve, members who have the right intentions, but may need clear guidance, better tools or a stronger sense of what a high-quality profile and experience should look like. We are focused on supporting them. And this represents one of our biggest areas of opportunity. For example, someone who follows all community guidelines, but has only one blurry photo and no bio. That's a simple high impact improvement. By helping these members show up more fully, we believe we can move more of them to the approved category. This will enhance their experience and drive better engagement for them. And in turn, unlock a healthier member base with increased retention and stronger monetization. Importantly, approved members monetize at approximately double the rate of our improve members. The third category is remove. We have always prioritized trust and safety. The last quarter, we significantly deepened our focus. In March, we accelerated efforts to identify and ultimately remove bad actors and low intent members, a strategic step aligned with our quality-first approach. It includes removing duplicate accounts, members who break trust, bots, scammers or those that don't follow our community guidelines, but also members with low quality and incomplete profiles and no willingness to improve. If improved members don't take the step to engage meaningfully they transition to remove. We believe that removing these profiles will create a stronger, safer environment for our high-intent community, making the overall experience much better, even if it contributes to a near- term headwind to payers. Our goal with beehive fit is to move as many members into the approved category as possible. And this will be an always on focus for us over the long term as new members continue to join us. We remain laser-focused on cleanup, discipline and resetting the bar, but we're already shifting into build mode as we set the stage for renewed sustainable growth. Our August love launch marks the first major step in this next phase. It's a trust first product update that includes phone and ID verification, mandatory selfie checks and richer profile building tools, all designed to help high-intent members show up more clearly and confidently, while naturally filtering out those less willing to engage meaningfully. We are also introducing our human and AI-powered coaching hub. This launch is foundational to strengthening the platform and improving outcomes for the people who are here for the right reasons. From there, will maintain a steady drumbeat of improvements across product and tech with another milestone in February when we debut what we believe will be the safest and most innovative version of Bumble yet. This next phase is about reactivating our community and personalizing every part of the journey from onboarding to matching, to meeting in real life. On the BFF side, we will also launch the all-new Bumble BFF app this month built on Geneva's group tech and bumble safety infrastructure. It combines one-on-one matching and events with community features to quickly follow designed to help people build real friendships off-line. With minimal investment, BFF is already a top friend-finding app in the United States, especially among Gen Z and younger millennial women, and we see it as one of our most exciting long-term growth opportunities, especially as demand for friendships, real-world connection and belonging continues to grow. Bumble and Bumble BFS are both powered by a clear technology vision, build proprietary AI capabilities to create more human connection. Under our new CTO, we've rebuilt our core tech work with a single mandate, help people find love safely and efficiently. AI is being embedded responsibly and ethically across the entire product ecosystem from matchmaking and personalization to member support and internal operations. We have data-rich insights on what our members are looking for and how they achieve successful outcomes. For bumble date, we are building a fully modern AI-first cloud-native tech stack from the ground up with a new infrastructure set to be completed by next spring. In parallel, we'll continue optimizing the current stack to support ongoing performance and stability. Bumble BFF, meanwhile, is migrating to an already modern platform through our acquisition of Geneva, giving us speed and flexibility in scaling group and community features. Everything we built is grounded in real world outcomes, not endless engagement. Our AI systems will be trained and continuously refined by real matchmakers and relationship experts, ensuring that insights, prompts and recommendations are shaped by emotional intelligence and modern relationship science. Now let's talk about marketing. At Bumble marketing isn't here to cover for an average product. It's here to amplify a product people need and love. We are focused on building the best experience in the category because a great product is what keeps people coming back. Historically, our performance marketing lacked clear guardrails. We've now realigned marketing with our focus on organic growth, high-quality acquisitions and durable engagement. We are already seeing early signs of progress. Retention and organic registrations are up. We're doing all of this while preserving one of our strongest assets, our brand. Among scaled dating apps in the U.S., Bumble holds the highest favorability among women and the general population with a competitive standing among Gen Z with improvement in each of these key demos in Q2. Coming alongside the product update and the Love launch later this month is a brand moment rooted in real stories of love, connection and family that Bumble has helped to create. It is a powerful reminder for the impact we help create in the world. Behind all of this work is a team that's getting stronger and stronger. In just a few months, we have both shrunk the team to a much leaner organization and added exceptional leaders across products, tech, marketing and legal and now finance. We are thrilled to welcome Kevin Cook as our new CFO this month. Our leadership transformation has helped us attract top talent with purpose and passion. We are being selective with how we invest in talent with a very high bar for any additions, including considering whether AI can do all or part of the work of each potential new head, prioritizing a lean, high-performing team. Across the company, we've reorganized to move faster with more focus and ownership. We are building a team designed for scale, speed, and with heart. We are just a few months in, but the energy is real, the clarity, the focus, the urgency. It's all here. We are not building for where the world was or is. We are building for where it's going. We have committed to bringing bumbled back to being a truly member-first company. Everything we're building is rooted in what our members want, need and deserve. When they speak, we listen. Our primary goal is to deliver an experience that helps them find real love, friendship and connection. Now I'll hand it over to Ron. Thank you so much.
Ronald J. Fior: Thank you, Whitney, and good afternoon, everyone. As Whitney mentioned, Q2 reflects early results of the decisive steps we've taken to recenter Bumble around quality and to deliver the best member experience possible. Reshaping Bumble to prioritize quality and the member experience has, by design, weighed on our revenue and paying user count, while also improving ARPPU. We are making this trade-off intentionally in order to prioritize high-quality, relevant matches and a better member experience to drive Bumble's organic, sustainable growth in the years ahead.. Today, I will share updates on how our member base improvement strategy may influence our performance near term, but I will start with a summary of our second quarter financial results. Our Q2 performance exceeded the company's late June upwardly revised expectations. Bumble Inc. Q2 revenue was $248 million, including a favorable impact from foreign exchange of approximately $2 million. Bumble app revenue was $201 million, including a foreign exchange tailwind of approximately $1 million. This brings year-to-date total revenue to $495 million. Total paying users in the quarter were $3.8 million, and Bumble app paying users were $2.5 million. Venue app and other revenue was $47 million, including a $1 million foreign exchange tailwind during the quarter and benefited from Fruitz and official revenue of approximately $3 million in total. Before each was sold and shut down, respectively. Badoo App and Other paying users totaled $1.3 million. Turning now to expenses. Total Q2 GAAP operating costs were $587 million, and we reported GAAP net loss of $367 million, primarily driven by an impairment loss of $405 million. On a non-GAAP basis, which excludes stock-based compensation and other noncash or nonrecurring items, operating expenses were $154 million. The year-over-year decline of approximately 21%, was primarily driven by reduced marketing expenditure and lower headcount as a result of the restructuring plan executed in 2024. Adjusted EBITDA for Q2 was $95 million, representing 38% of revenue, benefiting primarily from a lower-than-anticipated impact from the reduced performance marketing spend, more selective spend in brand marketing, head count savings and the impact of the additional Fruitz revenues. Year-to-date, adjusted EBITDA totaled $159 million, representing a 32% margin. We reported strong cash flow of $71 million in Q2. Year-to-date, we have generated over $114 million from operating activities and we ended the quarter with $262 million in cash and cash equivalents. I'd like to highlight a few notable updates from the quarter. As Whitney indicated, we have moved decisively to streamline our operations and optimize our execution on our strategy. We have removed approximately $100 million in annualized costs including approximately $40 million related to the June reduction in our workforce, which affected approximately 240 roles with the balance in marketing spend as we reorient our strategy in support of our organic growth focus. Profitability, margin expansion and cash flow will remain our priorities as we redeploy some of our cost base savings into selective high-impact investments across product, AI, UX, trust and safety over the coming quarters. With respect to performance marketing, we cut even deeper than initially planned, as we saw that the cuts we were making had a smaller-than-expected impact on our near-term revenue. This outcome has reinforced our conviction that performance spend was not efficiently acquiring high-quality members and validate our strategic shift away from performance-focused marketing. Overall, you should anticipate that marketing spend will increase from Q2 levels in the second half of the year in support of brand initiatives including our August product moment as well as spend later in the year in support of the BFS initiatives and our regular drumbeat of product updates. On the talent front, we are being highly disciplined on head count with our focus primarily on product and AI-related engineering roles as we refocused these teams in the United States. The initiatives are factored into the Q3 guidance we've issued today. I also want to call out that in June, we began testing direct billing options for some purchases on iOS in select U.S. markets, offering customers discounted pricing. Early results have been positive with up to 30% of targeted members opting for direct billing. We will continue refining this process, but we already expect we could see a modest positive impact to our gross profit dollars in fiscal year '25 as a result of this change if it rolls up more broadly. It is worth noting that these tests could result in headwinds to our reported revenue as we offer lower prices that should result in improved gross margins as we keep more of that revenue compared to a full price purchase after accounting for App Store fees. Turning to guidance for Q3. We expect total Bumble Inc. revenue between $240 million and $248 million, representing a year-over- year decrease of 12% to 9%. Excluding foreign exchange and Fruitz and Official, this translates to a decrease of between 12% and 9%. We expect Bumble App revenue to be between $194 million and $200 million, representing a year-over-year decrease of between 12% and 9%. Additionally, we estimate adjusted EBITDA in Q3 between $79 million and $84 million, representing a margin of approximately 33% at the midpoint of the range. The sequential comparison reflects primarily a return to brand spending in support of our August product moment. In each of Q3 and Q4, we expect to pay down $25 million of our term loan. On that note, I will add that we did not repurchase shares of our common stock during Q2 and continue to have $50 million remaining on our current authorization. To add context to our outlook, we've shared today that we have accelerated execution of our Beehive fit framework to drive improvement in our member base. We expect these efforts, combined with the reduction in performance marketing spend that continue to impact year-over-year revenue comparisons. Later this month, we will be launching our August product moment focused on trust and safety, which is designed to improve the quality of the member base overall, but it is expected to drive further near-term attrition from lower intent members. You will see the beginning of this impact in the remainder of Q3, then more fully in Q4. We believe that as early testing has already shown as overall quality improves, we will begin seeing positive impacts on the retention and ARPPU from our higher intent users, ultimately setting the stage for a positive inflection in members. Our defined and focused member-based strategy is well underway and showing early promise. We believe we can continue to execute with pace against our strategy while maintaining a strong financial profile including solid adjusted EBITDA margins and cash generation. By driving an improved member experience today, we're advancing towards a Bumble with stronger retention richer monetization and a sustainable long-term growth trajectory. We appreciate your ongoing support, and we will now turn to Q&A.
Operator: [Operator Instructions] Our first question goes to the line of Shweta Khajuria with Wolfe Research.
Unidentified Analyst: This is Andrew on for Shweta. I want to follow up on the alternative payments comment. I guess could you please provide updates on kind of where you are in terms of the alternative payment options? What apps specifically are you testing? And I guess what kind of range of discounts are you offering? And then what you're seeing towards the adoption rates?
Ronald J. Fior: Yes. So what we're doing on -- we've done some testing, and it's been very limited at this point in time. And we're looking at different discount rates. And one of the things that we had seen very early on in this testing is that we tested a reasonable group of opportunity in people in that Apple iOS system and giving them a discount. And we found that the take-up on direct billing was actually 30%, which is very, very solid. We are continuing to do testing on that at different discount rates. And we've included a little bit of that in our guidance for the rest of this year or for Q3, but we are looking at -- if we -- there is an opportunity for upside in our numbers if we continue to do that through the whole rest of the year.
Operator: Our next question comes from the line of Andrew Marok with Raymond James.
Andrew Jordan Marok: Wanted to touch on ARPPU growth at Bumble App really quickly. So was the growth there solely driven by that promotional strategy, the exit that you had mentioned? Was there anything going on with maybe the underlying ARPPU growth that's worth calling out? And then I have a follow-up after.
Ronald J. Fior: Yes. So on ARPPU growth, I mean, I think it was a result of some deliberate changes that we have made in the monetization and some pricing optimization. It's an early signal of some of the impact of the changes that we're making, as we focus on providing fewer, better, deeper relationships. I guess I would remind you that it's really just an output. It's really not a number that we're managing to at this point in time.
Andrew Jordan Marok: Appreciate it. And then maybe on the user front, Whitney talked about the 3 buckets of users, the approve, improve and remove. You mentioned that improve was the largest, but can you give any guardrails or quantitative sense on the relative size of the buckets? And how many of those improve users actually want to improve?
Whitney Wolfe Herd: Yes. Thanks so much for the question. So improve does make up a vast majority of the member base. And perhaps reassuring to hear, remove actually accounts for under 10% of the member base. So here's the thesis. What we're really excited about is that we see real data and real green shoots with approved members. They have higher yes votes, they place higher yes votes, better retention. They get more matches. They have a double willingness to pay. So if you take this strategy which I said in the prepared remarks, which is to essentially move as many of those improved up to approve, you can imagine the output and the results that this has on the overall ecosystem and member base. And so this is exactly what we're focused on. Our product road map and our recommendation engine is very focused on making sure that approved, see the approved and that we are giving the tools through coaching, through AI, through other product functionality to move that improved base up because when you do that, everything improves across the board, and you are left with a much higher quality member base, and this is exactly the strategy of quality over quantity.
Operator: Our next question comes from the line of Nathan Feather with Morgan Stanley.
Nathaniel Jay Feather: As you work through the turnaround, do want to know what metrics you're tracking internally as you make this push for quality and for investors looking in from the outside, what do you think the best way to track your progress given the noise in terms of the reported KPIs?
Whitney Wolfe Herd: I appreciate the question. I'll take that. So you can imagine that with this reset, to quality first. I have been extremely obsessed and the team has been extremely obsessed with tracking deeper signals, deeper member inputs. What are the inputs across the board to get our members to success? If you think about why people are here? They come to the product, to find real high-quality interactions that lead to real quality date. So every single thing that we are watching is all in the effort of getting our members to high-quality compatible relevant matches as quickly, efficiently, safely and effectively as possible. And so while we're not willing to share those deeper metrics or those deeper signals with the Street right now, rest assured that the team is very focused on this. And we will keep everybody posted as we expand our metrics in the future.
Nathaniel Jay Feather: Great. That's helpful. And then on the reinvestments you're making, just any way to think about the timing of those reinvestments and especially given some of the usual costs and AI talent associated if those might be rolled in over a longer time frame?
Whitney Wolfe Herd: Yes. Thanks. That's also a great question. So we're being extremely precise and surgical with reinvestments. We are not cutting costs to just spend again. As I said in the prepared remarks, every single dollar that is being spent at this company is being rigorously evaluated through the lens of is it a must-have for the quality strategy? Is this helping get our members closer to offline durable love? And is this going to make us the leader in the space as rapidly, effectively as safely as possible? So as we evaluate that, we are putting every headcount member, every new headcount through that lens, every technology update through that lens, and we are only spending where absolutely necessary. Some of that spend will start hitting here in the near term. And some of it will be deferred to longer lead when we do things like strategic brand marketing around product launches. So just rest assured that we are being extremely diligent and we are managing to have an incredibly efficient cash flow positive and healthy business. At the same time, we are running this for the long term and optimizing for long-term success.
Operator: Our next question comes from the line of Eric Sheridan with Goldman Sachs.
Eric James Sheridan: Maybe following up on that last question and just sticking with this theme of sort of marrying priorities with investments. When you look out over the next 12 to 18 months, what do you see as your biggest priorities to move the needle for the platform? And how should we think about the depth and duration of investments lining up against some of those key priorities, just to put a finer point on some of the messages from the prepared remarks?
Whitney Wolfe Herd: Thank you. I appreciate the question. So the main priority is our products and technologies, hands-down. As we said in the prepared remarks, we are actively rebuilding a Bumble 2.0, if you will. This is AI first, cloud native, extremely sophisticated tech infrastructure. This is really meant to enable innovation at speed, at scale and very personalized. And while we do that, we are maintaining a steady state of productivity and support to our members while we continuously make these micro enhancements that really count on the current technology. So for example, over the last quarter, we enhanced our recommendation system and we continue to leverage deep learning and rich profile signals and implicit signals from these in-app actions. And those improvements alone on our legacy system actually drove a greater than 10% increase in women's yes votes. So we are able to continuously move our metrics upstream while we focus on these longer-term swings that will require time focus and reinvestment. So the priorities are really essentially very simple, deliver a quality experience that is both product but tech, recommendations, matching. Our priority is always trust and safety. This is what particularly women, but everyone wants, People want to feel safe. They want to know that who they're meeting, is who they say they are meeting. They want to feel a trust and safety backbone when they're using these products to find friends. Another big priority is Bumble For Friends. I cannot tell you how excited and how convicted we are in the future. So organic demand for Bumble For Friends, particularly from Gen Z women and younger millennial women is extremely exciting. And so we're really putting a lot of time, energy and focus in this modern technology to support front lining and communities. And I think you'll notice that I didn't mention marketing. And I think that is important because our product is going to speak for itself and the marketing that we do from both an investment standpoint but also from a team resourcing standpoint, is there to amplify a great product. There to amplify very innovative, safe quality technology. And so you will see us spread the most important message that we have to offer, which is the amazing success stories we put into the world. So those are really the high-level priorities over the next 12 to 18 months.
Operator: Our next question will go to the line of Ygal Arounian with Citi.
Ygal Arounian: So maybe just first, Whitney, on the Bumble users and the 10% or less than 10% in that remove category, talked about some of the improve users that don't want to improve potentially getting down to that remove bucket. Some of the trust and safety features that could cause dislocation, you've also less focused on some of the lower-value users. And so you've kind of like naturally aiming to tear down the user base before you build it up. So I'm just trying to understand what that level might be to the extent that you could help on where we kind of bottom out? And then as you begin to try to build up, you're going to be targeting a smaller base, right, to not track some of these users that you're electing not to bring back. And so how you do that and how you start to build back up and kind of get back to a user base that's higher than your previous peak?
Whitney Wolfe Herd: Great question. So I think this is actually slightly different than what meets the eye. You would be surprised by how many phenomenal members we have that technically classify as lower improved. They're not bad people. They're not nefarious members. They have no clue how to build a profile. These could be extraordinary people that when you meet them in real life for like how are you single. But when you look at their Bumble profile, they have one photo, they're wearing a mask, and they have no bio. There's no chance for them on our product in that construct. So this is really not about us needing to remove just the whole member base because everyone is a bad member, absolutely not. Frankly, the quality of our members are really good, but the quality of their profiles are not so good sometimes. And so this is really an effort to really improve the quality of how they show up, how they put themselves out there and how they express themselves so that they can move up that ranking. Now there is a subset of members that does fall into that remove category. And you're right, we will be taking them off of our platform. However, fewer better is always going to win when it comes to connection and relationships. Just more profile. If you were to swipe through 100 people, you never wanted to meet, you would walk away feeling very, very disappointed. But if you were to go through even just 5 or 10 or 15 profiles, of very high-quality profiles, and everyone was actually quite interesting to you. You would feel very, very compelled to return. So this is actually not so much of having to kick everyone out. It's really about just removing that less than 10% of folks that shouldn't be here, they're bots, they're scammers, they have duplicate accounts. They have no intention of behaving well. And then finding those folks that are lingering around the improved category that maybe have no willingness was bring them down within everybody is up or out. I mean, it's amazing to see what happens. When you just help people out a little bit, they really do have a much better experience and then they have positive impact on the member base. So high level, I just don't want anybody to walk out of here thinking this is a onetime strategy. This is always on. We get new members every day, and we will have to consistently sort our profile, improve our profile, and this is an always-on approach, but we are very confident that as this strategy continues to be executed against with speed, with focus that we are going to have an extremely high-quality member base that will create all of the outputs that matter for a great business.
Ygal Arounian: And maybe just a follow-up on the investments -- on the investments that you're planning, including marketing. It doesn't sound like you're targeting a specific margin target. But as we think about our models and as marketing comes back in and you start to roll out some of these investments, and any way to help frame the right way for us to think about how margins might flow through next year and beyond and how you think about that?
Ronald J. Fior: So maybe I can answer some of that. And I think -- well, I'm not going to go out into next year because we're not giving guidance that far, but I think I can give you some color towards the rest of the balance of this year. And looking essentially on the income statement, starting with the revenue side, we expect that the trust and safety, which we've talked about in our script today, will have an impact, obviously, in Q3, and we'll have a greater impact in Q4 and that includes everything from mandatory phone numbers and self- identification and those kind of things. So that will have a -- it will have a near-term attrition to our payers. From a gross margin point of view, we talked about the alternative billings, the impact of the reduced app store fees from there. And so that will be -- could be a potential upside from a gross margin point of view, but that could also be a little bit of an impact -- negative impact on the revenue because obviously, less revenue. But at the end of the day, we'll end up having a greater margin in dollars at the bottom line. When you look at the marketing, we've talked -- Whitney talked a lot about this already, but we're going to have -- we will have very minimal performance marketing in the second half of this year. What we did say is that we will have more marketing, brand marketing, more organic marketing that will occur in the second half of the year than we incurred in the -- if you think about the second quarter level, it will be at a higher level than that. Again, it's going to be very focused on the organic side. So product and engineering side, again, the head count, we're going to continue to -- we've just done this large workforce reduction. But now what we're going to do is we do have to build up our presence in the United States and not merely in the engineering area. In all other areas, it's going to be very, very limited increase in our headcount. And that's really the key things for the balance.
Whitney Wolfe Herd: Yes. The only thing I'd like to layer on to what Ron said is when it comes to marketing, again, I want to be extremely clear, we are not going to market for marketing's sake. We are only going to be doing marketing that amplifies the strength of the quality and the power of our product. And we are only going to be reinvesting into the halo of our brand. I cannot reinforce enough how important our brand is, how it really is a huge strength for us. People choose us over competitors because of the way Bumble makes them feel from the brand perspective. So rest assured extremely measured and precise and surgical when it comes to marketing and only there to enhance the power of the brand.
Operator: Our last question will come from the line of John Blackledge with TD Cowen.
Logan Alexander Whalley: It's Logan on for John. As you release new features in the August launch and looking forward, could you talk about how you are appealing to Gen Z users who maybe have grown weary of the traditional online dating experience. And then following up on the CFO appointment. Could you just talk about equality that led to Kevin's hire?
Whitney Wolfe Herd: Thanks for the question and good to hear from you. So let's talk about Gen Z. I think there's a bit of a misconception that Gen Z is some completely different species that doesn't think about love and connection the same way most of humanity does. The reality is this Gen Z entered the dating market rather the online dating market at a time where most of these products were already very saturated. So a lot of the exact product solves that we are so maniacally focused on right now are specifically the issues Gen Z has with online data. For example, they don't want to feel like they swipe endlessly through people that are not interested in. They don't want to feel judged. They don't want to feel rejected. They don't want to feel like they're talking to someone that is not actually who they say they are. These are the same issues that everyone has struggled with, with online love. And this is precisely what has driven the strategy back to quality first. When I came back in as CEO, I showed up with a list of 10 of the top customer pain points that I had researched extensively. And I basically came back and said, until we fix all of these problems, we're not going to just roll out random features. Feature fatigue is not solving the problem for anyone. This is about solving the real needs of dating and connection, and that is precisely what we're doing. That's what you'll see in the August launch. It's all about trust and safety. It's all about efficiency. It's all about feeling relevant and compatible again. It's all about helping people enjoy dating again and build confidence back up because that's what made this category special to begin with. And so this is really how we win back Gen Z. Now I'd like to touch on something else because it's very important. Gen Z has shown us through the trends and the data that we are tracking on BFF that they are actively seeking off-line connection, friendships and groups. They want to be a park community. And this is one of the brightest spots in our entire group to go and lean into this with Bumble For Friends. And the great news is we are already there. We are a leading friendship app in this space. And frankly, we're the only one in the dating space that has a friend- finding feature at scale. So this gives us a real competitive edge. And we're really excited about that. And now to the CFO. Yes. So Kevin Cook, what an exciting hire. Listen, he checked every box. We wanted someone that understood technology first. We wanted someone that was a product thinker. We wanted a finance leader that understood the demand that members have from a product and to really lead for the customers, to lead for the members first because that's how you drive a great business. And that's the strategy that we are operating against right now. He comes with deep expertise, deep experience, deep understanding of many technical components. He's going to be a great partner to us as we navigate this next era of AI and as we navigate a return to growth, and we're very, very excited to have him. And we're deeply appreciative to Ron, who has been extraordinary.
Operator: Thank you. And with that being our last question, we will now conclude today's conference call. Thank you for your participation, and enjoy the rest of your day.